Operator: Good morning. My name is, Jackie, and I will be your conference operator today. At this time, I'd like to welcome everyone to the DuPont Third Quarter 2007 Investor Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer period. [Operator Instructions]. We do ask that you limit yourself to one question and one follow-up question. To listen to the webcast please go to www.dupont.com. Thank you. It is now my pleasure to turn the floor over to your host Carl Lukach, Vice President of Investor Relations. Sir, you may begin your conference.
Carl J. Lukach: Thank you, Jackie. Good morning everyone and thank you for joining us. We're pleased to present by way of this webcast our third quarter 2007 financial results. Here with me this morning are DuPont's Chairman and Chief Executive Officer, Chad Holliday; and our Executive Vice President and Chief Financial Officer, Jeff Keefer. For our agenda today, first Jeff will review the third quarter results. Next I'll highlight each of our platform performance. And after that Chad will share with you his summary comments on the remainder of this year and our 2008 outlook. Please turn to slide 2. During the course of this conference call, we will make forward-looking statements. All statements that address expectations or projections about the future are forward-looking statements. Although they reflect our current expectations, these statements are not guarantees of future performance, but involve a number of risks and assumptions. We urge you to review DuPont's SEC filings for a discussion of some of the factors that could cause actual results to differ materially. We also invite you to please see the supplemental information that we have posted on our website this morning including the slides that we will use with today's webcast. With that I will now turn the call over to our Chief Financial Officer, Jeff Keefer. Jeff?
Jeffrey L. Keefer: Thanks very much, Carl, and good morning, everyone. The third quarter was challenging with rising ingredient cost and persistent weakness in certain US markets, yet we ended with strong results. The key points are: we drove strong top-line growth of 6% globally and 11% outside of the US. Excluding portfolio changes, sales grew 7% by a 12% increase in sales in our international markets. Our underlying third quarter earnings per share grew 20%. We increased third quarter segment pre-tax operating income, excluding items, by 12%, and our operating margin improved 90 basis points. We improved productivity. Fixed cost, as a percent of sales, declined while we continue to invest in our higher margin businesses. Let's look at the details of the quarter, add some color to our results and preview our outlook for the year. Starting now with slide 3, third quarter reported earnings were $0.56 per share versus $0.52 per share a year earlier. Excluding a $0.03 per share 2007 litigation charge and a $0.03 per share 2006 insurance recoveries, earnings were $0.59 per share compared to $0.49 per share last year representing a 20% improvement. The double-digit earnings growth was based on well positioned global businesses, delivering solid sales growth in growing markets. Third quarter sales were $6.7 billion up 6% or $366 million. Excluding portfolio changes our sales grew 7%. On a year-to-date basis sales were $22.4 billion, an increase of 6% or $1.3 billion. Looking at our global sales distribution on slide 4, 64% of our sales in the quarter were generated outside the US. Our regional sales mix continues to shift as our sales teams and technical centers bring our technology to new customers and new markets all around the world. The standout region this quarter was clearly Latin America. Sales were about $900 million, up 24% versus last year's same period. While four out of five platforms had double-digit growth in the region, the seed franchise had the strongest performance as the planting season got off to an early strong start. Importantly, Latin America's profitability is inline with corporate averages. Our businesses have built a sustainable model which will be the basis for future growth. Moving now to the earnings per share variants analysis on slide 5, local pricing improvements continued and we locked in our 15th consecutive quarter of pricing gains. While the pricing environment varies across our platforms, increases were primary in our Polymers and AG business. Total variable cost increased $0.12 per share in the quarter. Excluding the impacts of royalties, commissions and the impact of past through pricing inflation, our underlying ingredient and transportation costs were up about 3%. Ethane, Ti02, orous [ph], Methanol and other industrial chemicals that track oil are more than offsetting the benefit from lower natural gas. Again, we see that our basket of purchases aligns with the industrial chemical prices shown in the appendices. Based on the global market dynamics, record levels of Ethane and oil, and our year-to-date experience, we expect fourth quarter variable cost to trend similarly with the year-to-date results. And finally the $0.03 per share benefit listed as 'all other,' was primarily a one-time item related to the termination of a contract in our AG and Nutrition segment. Moving now to slide 6, fixed cost as a percentage of sales decreased continuing our five-year positive trend. Third quarter 2006 [ph] fixed-cost as a percent of sales was 43.8% a 90 basis point improvement versus last year. The results in the quarter demonstrates our commitment to offset inflation and keep our growth investments in our highest margin businesses on track, helping deliver continue growth in 2008 and beyond. To size it for you, we estimate that the incremental growth investments in the quarter were about $0.04 per share. Investments are focused in our leading businesses, enhancing sales and marketing, R&D or increasing capacity. Partially offsetting this was a $0.01 per share benefit from aggressively executing productivity projects in excess of inflation. We are committed to both efforts. Driving productivity and driving growth. On the top of slide 7 is our summary of base tax rate. Third quarter 2007 base tax rate of 22% compares closely with the third quarter of 2006 base tax rate at 22.1%, producing a zero... a net zero impact on the results in the quarter. The third quarter rate of 22% is a result of improved geographic mix of earnings and one-time tax benefits. With this adjustment, our year-to-date base rate is 25%, still slightly above the prior year same period base tax rate of 24.2%. Now, I want to take just one minute to clarify the difference between our base tax rate and effective tax rate as seen slide 7 and Schedule D of our news release. The effective tax rate includes the effective tax on operations, tax on significant items and tax on exchange gains and losses. Our base tax rate removes the impact of tax on significant items and exchange gains and losses, leading the base tax on our underlying business results. Which we believe is a better indicator of tax impact on our results. Our communications and forecast about taxes have always been to you on a base tax rate as we cannot predict exchange gains or losses for significant items. For the fourth quarter, our base tax rate is expected to be 25%, inline with the year-to-date number. This higher rate, as compared to the 4% rate in the fourth quarter 2006, will generate about a $0.10 per share negative variance in the fourth quarter, and about a $0.13 per share negative tax rate variance for the total year. A few more items, before I turn it back to Carl for the segment reviews, with regard to return on net assets, we continue to make progress on our assets earning less than 12%. As shown in the appendices both categories of assets register improvement. Assets in the 0% to 12% have improved 290 basis points, since November 2005 resulting in $5.9 billion of our assets earning about a 7.015% [ph] return, we will continue to drive operational discipline and differentiate in capital allocation to improve the value return across our businesses. Additionally, I am happy to report we completed our $5 billion share repurchase program in the month of September by repurchasing 22.9 million shares at a cost of $1.1 billion. We are confident in our ability to deliver on our growth and productivity programs to increase shareholder value. Looking more broadly, between 2005 and 2007, we returned $4.2 billion in cash via dividend payments and $5 billion via this most recent share repurchase program for a total of $9.2 billion return to shareholders. Primary balance sheet items are also provided in the appendices, this quarter you will note a sequential increase in debt which was related to the decision to complete the remaining $1.1 billion of share repurchases. Debt temporarily increased and will trend back down inline with typically strong fourth quarter cash flows, primarily reflecting rejection of accounts receivable, mainly in the AG and Nutrition platform. That closes the review for the quarter. Now let me take a few minutes to discuss updating our full year guidance from about $3.15 per share to a range of $3.15 to $3.20 per share, excluding items. Year-to-date earnings per share, excluding items, of $2.70 grew 11%, despite the weakness in North American auto, residential housing and rising ingredient and transportation cost. We more than offset these headwinds because we are well positioned in emerging market and in fast growing end use market such as agriculture, safety and security and portable [ph] tax. We achieved price increases in each quarter based on new product introductions and disciplined price management. Our fixed cost improvement work has offset a 100% of our inflation and has contributed to funding a portion of our growth investments. In addition, our Pharmaceuticals contributed more than anticipated based on strong sales. Also we have slightly lower tax-rate versus our original plan. Looking to the remainder of the year, we expect the challenges of rising ingredient cost and weakness in North American markets to continue while facing a higher quarter-over-quarter tax rate. We are confident we can overcome these headwinds by driving all of the elements which delivered the solid year-to-date performance, including pricing, international growth and productivity. Carl will now review the detailed each segment's contribution towards the fourth quarter earnings expectation. Carl?
Carl J. Lukach: Okay, Jeff, thank you. Let's turn now to the performance and outlook for each of our platforms. In discussing segment performance, we'll comment on results before significant items, and all references we make to earnings are on a pre-tax operating income basis with comparison to last year. We also provide considerable detail about segment performance on the DuPont IR website, including reconciliations of non-GAAP measures. Please turn to slide 9. Our AG and Nutrition platform segment delivered an outstanding quarter with 21% sales gain and 38% earnings growth. We had a $25 million gain, as Jeff mentioned, from a contract termination payment and we also increased seed, R&D, and sales and marketing by about $25 million as well, as planned. Excluding the gain, earnings improved 21%. Sales of $1.1 billion reflect broad base strength in corn and soybean seed sales in Brazil and Argentina, strong canola sales in Europe, and strong chemical sales in Latin America and Europe. The lower seasonal PTOI lost, this year, was driven by strong sales and some restructuring benefits offset by growth investment spending in our seed business. Let's look at the details beginning with Crop Chemicals. Sales were up modestly with strong sales in Europe and Latin America offset by a decline in North America. Earnings were up significantly, driven by cost competitiveness programs. Fungicide demand in Europe was strong, due to high disease conditions in Northern European potatoes and grapes in France. Demands for SU [ph] used in sugarcane, soybeans and corn was strong in Latin America. These gains were partly offset by lower sales in the United States with lower insect protection in Texas Cotton, Western alfalfa, Midwest soybeans and Florida fruit and vegetable markets. Our outlook for the fourth quarter in Crop Chemicals is double-digit growth in sales and a significant improvement in earnings. Turning to our seeds business, third quarter sales increased 85% to $323 million with broad base strength in corn and soybeans in Latin America, strong European demand for oil seeds and a good start to the South African season. Our Latin American record performance was driven by higher prices, increased acreage, share gains in Brazil and Argentina combined with a strong early buying pattern. We are poised for solid share gains in these important markets. As most of you know, our product development and marketing efforts target the higher value, hybrid corn segment in Brazil and we are making significant progress. Our share of the summer and spring markets increased more than five points this year, we also anticipate about a four point share gain in Argentina corn. As for our AG and Nutrition segment outlook for the full year, we remain committed that this segment will deliver double-digit sales and earnings growth in 2007. 2008 should be a strong year of growth for the AG and Nutrition segment. In our Crop Chemicals business, we'll grow sales moderately and expect continued strength in cereals. We are excited about the 2008 launch of our new product Rynaxypyr, an insecticide with ultra-low toxicity and exceptional efficacy, and we'll continue to advance other exciting new products through our R&D pipelines. For our seed business, we intend to hold share in North American corn and continue strong growth in international corn markets driven by product performance and share gains. We expect to gain share globally in soybeans, canola and sunflower seeds as well. Moving now to slide 10, Coatings and Color Technology segment sales increased 2% to $1.6 billion. Excluding the impact of our divested business, sales grew 3%. Earnings declined 14% reflecting margin erosion in Ti02, offsetting slight earnings gains in the coating businesses. The Ti02 market continues to be pressured by the weak North American housing market and previously high industry inventory levels. Sales declined slightly as favorable currency and volume gains in Asia and Latin America were more than offset by lower North American sales. In the face of the weak domestic market, earnings declined moderately and operating margins compressed. In the Coatings businesses, sales grew modestly. US dollar pricing and momentum in Latin America and Asia Pacific offset lower North American sales. Earnings increased slightly as lower fixed cost and OEM coatings, US dollar pricing, and certain international sales gains were offset by increased ingredient and transportation costs and lower North American sales. The fourth quarter outlook for Coatings and Color Technologies reflect modest sales growth and moderate year-over-year earnings increases, particularly in the Coatings businesses. Fourth quarter OEM Coatings comps should be our most favorable this year and the restructuring benefits are expected to peak. In addition, our previously announced pricing action for Ti02 should temper earnings erosion. Looking forward to 2008, Coatings and Color Technology is expecting growth from continuing emerging markets strength, increasing penetration in high productivity, low environmental and new coatings products and cost productivity gains. Pricing action in 2008 will be a key element to us to recover expected ingredient cost increases next year. For '08 planning purposes we are not expecting improvements in North American housing and auto markets. Moving now to slide 11, and our Electronic and Communications Technologies platform, sales grew 5% to $935 million and earnings grew 5% to a $138 million. Our third quarter performance reflects sequential improvement from lower first-half results from overall market improvement for several of our key market product lines. Our third quarter sales growth was primarily due to volume growth and in floral products and packaging graphics and the pass-through of higher metals prices. Demand for electronic materials, particularly for the cell phone and semiconductor supply chains, improved in the second half of the quarter. The platforms earnings improvement reflected our revenue gains and fixed cost control partially offset by higher variable costs, earnings growth was lead by packaging graphics. Sales for electronic material products grew modestly primarily due to higher metals pricing and improving demand in the semiconductor supply chains as well as continued strength in the photovoltaic market. Strong sales growth in Europe, China and Taiwan were offset by weaknesses in Japan, Korea and North America. Earnings grew moderately, reflecting the sales gains and fixed cost management. Sales for fluoroproducts rose modestly, primarily due to volume growth in the fluorochemicals area and polymers used in photovoltaics and chemical filters. High refrigerant prices in the US were offset by lower prices outside the United States. From a regional perspective, fluoroproduct sales remained strong in Europe, improved in Asia Pacific and were essentially flat compared to the prior year in the United States. Earnings grew moderately, reflecting sales gains and fixed cost control. Sales for imaging products increased modestly, primarily due to volume gains for packaging graphics, which were partially offset by lower volume from mature color proofing products. Earnings increased substantially, reflecting sales gains and fixed cost management. Turning to the outlook for the fourth quarter, we expect to deliver moderate sales and earnings growth primarily due to continued strong demand in the package graphics markets, improving demand for electronic materials as well as continued disciplined fixed cost management. For 2008, we expect to benefit from strong demand for photovoltaics, improved demand for electronic materials and fixed cost control. We expect these gains to be partially offset by start-up costs in a new Tevlar line in a fluoro plant in China. Let's now turn to slide 12 for a review of the platform material segment. Sales grew 6% to $1.7 billion. Excluding the benefit of a portfolio change in the quarter, sales rose 5% due to higher US dollar selling prices, partially offset by lower volume. Earnings increased 16% to $196 million, reflecting gains in all major product lines. The segment's profit improvement was principally due to higher US dollar selling prices and disciplined fixed cost management. These gains were partially offset by higher raw material costs. From a regional perspective, revenues grew in Europe and Latin America due to local price gains, volume growth and favorable currency. Volume declined in North America and was essentially flat in Asia Pacific. Sales in engineering polymer product lines grew modestly on higher US dollar selling prices, partially offset by lower volume. Revenues were strong in Europe, higher in Asia, and lower in North America. Volumes grew significantly... or earnings grew significantly, I am sorry, reflecting revenue gains and disciplined cost management, which were partially offset by higher raw material costs. Sales of packaging and industrial polymer products grew significantly due to higher US dollar selling prices and a portfolio change. These gains were offset by lower volumes, partially due to the impact of Hurricane Umberto at our Sabine, Texas facility, and ingredient supply constrains that resulted. Sales grew at all regions with the strongest growth in Latin America and Asia. Earnings grew significantly reflecting the sales gains which were partially offset by higher raw material costs. Sales for elastomer product lines rose modestly, primarily due to higher US dollar selling prices which were partially offset by lower volumes. Sales grew in all regions led by Europe and South America. Earnings grew substantially, reflecting sales gains and disciplined cost management. For the fourth quarter, we expect moderate sales gains and substantial earnings growth. We anticipate to benefit from higher pricing, volume gains outside the United States and fixed cost controls. These gains are anticipated to be partially offset by the soft North American auto market and higher raw material costs. For 2008, the segment will face difficult comparisons to what we expect will be a strong 2007 results. However, we believe the platform will benefit from continued growth in emerging markets, higher local selling prices, fixed cost discipline and focused new applications development. These gains are expected to be partially offset by, again, higher raw material cost and the volume launch associated with the planned shutdown of our Louisville, Kentucky elastomers plant. Turning to slide 13, and looking at our Safety and Protection segment. Sales increased to $1.4 billion, up 6%, excluding the impact of the divested business and in spite of lower demand in US residential housing. We had 4% volume growth worldwide. Earnings in the quarter were $313 million, up 9% versus the prior year. These results reflect the diversity of the platform across many industries and geographies, success at new product launches, and a rapidly growing position outside the United States. Looking at the key product lines in the platform, Kevlar and Nomex continue to perform well, reflecting strong demand in life protection, emergency response, mass transportation, and personal protection market segments. Our business continues to enrich its product offering with new applications development, while unlocking incremental capacity through operating efficiencies. We announced last month plans for a $500 million Kevlar expansion to satisfy growing demand. Turning to our construction businesses, which primarily encompasses Tyvek and services product lines, third quarter global sales were essentially flat as the continued downturn of US housing was offset by continued strength in global commercial businesses... construction, as well as success of new product launches and new market penetration. For perspective, the National Association of Home Builders data shows that US housing starts were down 24% in the quarter. We outperformed the industry as our US construction business, which includes residential, commercial and remodel, were again down less than half of the market, offset by an 11% in our international construction business. Tyvek sales into other end uses such as personal protection garments, medical packaging and envelopes also added to platform sales and earnings growth in the quarter. Turning to the fourth quarter outlook for Safety and Protection, sales are expected to grow modestly and earnings significantly with broad-based participation across the platform. Kevlar and Nomex demand remains strong and further product enrichment in chemicals continue to contribute to bottom- and top-line growth. Lastly, easier comps in the Construction business are expected and continued focus on new product introductions as well as emerging market expansions are expected to positively impact the fourth quarter. Now looking forward to 2008, Safety and Protection expects to benefit from continued execution of its growth strategies and additional Nomex capacity coming online in the second half of next year. Cost investments to expand Nomex and Kevlar capacity, and continued weakness in the North American residential housing markets are expected to provide headwinds next year. That completes our review of the platforms. I will now turn the call over to our Chairman and CEO, Chad Holliday.
Charles O. Holliday, Jr.: Thanks, Carl, and good morning, everyone. I'd like to share with you my perspective on the third quarter results. Please turn to slide 14. You can see this quarter that overall growth strategies improvement efforts are more visible in terms of top-line growth and operating leverage the bottom-line. Our broad-based 11% top-line growth outside the US reflects progress on our strategy to go where the growth is. It's being enabled by the investments we've made in people and facilities over the past decade throughout the world. We are capitalizing on that strength, especially in emerging markets and expect to continue do so. The increased rate of new product flow from DuPont reflects progress on our strategy to put our science to work. We introduced 278 new products in the third quarter. Let me share some specific examples of these new products. In our seed business, we introduced 40 new corn hybrids for the southern hemisphere growing season in Latin America, Africa and Asia. We launched a new corn fiber technology that improves utilization of the normally indigestible parts of forage, providing high energy content in livestock feed. In Europe this year, we introduced a new canola hybrid named Maximus that offers higher yield and higher oil content. Moving to our building innovations team, they introduced a new hard roof platter using several DuPont products that provides more durable, better protection against roof leak and better mould resistant than conventional roofing fill. Our Electronic Technologies team commercialized a new family of foam resistance for high-frequency coax cables to enhance electrical performance. Our performance coatings business continued global introductions of new water-borne base coats that significantly reduce emissions. And performance materials were introduced two new glass reinforced Zytel resins for food contact and for auto applications. In the third quarter, we filed 361 new US patient applications across all platforms, of which, 138 related to agriculture and materials biotechnology. This quarter's patent filing brings us to 1,100 year-to-date filing. Of those, almost 300 are in the area of biotechnology. In three weeks we're hosting an investor event focused on DuPont applied bioscience. In addition to learning more about the technology and business opportunities we're pursuing, you'll have opportunity to interact very directly with our corporate leaders and our biotechnology team. I hope to see you at this event November 12th and 13th in Wilmington, Delaware. Our Safety and Protection segment had worldwide volume growth of about 4.5% in the third quarter, in spite, of the low demand in US residential housing. We're encouraged by this up-tick in global volumes as we view demand for improved personal protection, security materials as a major growth opportunity for our company over the next decade. Our fixed cost productivity programs are boosting profit margins. We're on track to reduce fixed cost as a percent of sales by about seven full percentage points over the past four years. We're making steady progress with our capital productivity programs, since we announced our intentions November 2005. We've reallocated both human and capital resources among our businesses to increase shareholder value created by our capital investments. We also sold seven businesses that we saw no clear pathway to improve shareholder value within DuPont. We completed our $5 billion share repurchase program earlier than planned have a strong balance sheet and strong cash flow. We are making solid progress on these fronts but have more improvement to do. Bottom-line on third quarter, we delivered solid 20% growth and EPS in a way that hopefully you'll view as progress against the expectations we set out for you two years ago. Let's move now to what lies ahead, please turn to slide 15. First, the fourth quarter, we're confident in our fourth quarter outlook we presented today in the news release. Third quarter trends appear to be continuing in fourth quarter. Our sales outside the US are strong now and should remain so through yearend, especially in the emerging markets. We've had especially good volumes in Western Europe, the past three quarters. We have our close eye on that for any potential slowdown. In the US we have no expectations of an up-tick in demand from US residential housing market this quarter or even next year. We're watching auto sales closely to gauge OEM production rates for each of our customers, as we've discussed on prior calls our counter measures in these two areas are securely in place and we are successfully managing through it. Our ingredient costs will likely be up about 3% this year with higher oil prices. We're seeing this now for five straight years and are well positioned for margin expansion if these costs subdue. But we are not counting on that, instead we are counting on focusing on prices for our products to make sure we'll appropriately capture fair value of what our products bring to our customers. Turning now to next year, we feel positive about our growth outlook in 2008 and only feel moderated by the slow growth in the US. We're giving you today a first look at how we see the year ahead; we're assuming global GDP growth at about the same rate as 2007, strong agriculture business and no US recession with modest inflation continuing in our energy and ingredients costs. We expect to realize strong revenue growth again in 2008 in developing countries and this should provide us, as it did this year, a large counter measure to slow growth in US. For DuPont, we expect to complete our 2008 commitments that we made to you in November 2005. You should expect to see continued cost improvements, steady progress on our capital productivity improvement actions and a continuous flow of new products and new product applications from R&D across most segments. We'll continue to make accelerated, targeted investments in our biotechnology platform. Carl covered for you the segment review, the major factors that we see driving improvements in 2008 for each of our platforms. So, the bottom-line is we see about 5%... 10% growth in 2008 earnings. As we did in 2007 we'll provide update to this outlook as needed in 2008. Before we go to your questions, I'd like to share with you my view about our company beyond 2008. World events these past few years have caused heightened attention and demand for new solutions to the world's food, energy and security needs. Things like high yielding and high nutrition crops, renewably sourced materials, renewable energy, materials that consume less energy, increase personal protection, and more rapid and affective communications are much in focus today and are demanded by the industries we serve throughout the world. DuPont started applying its scientific capabilities and research dollars to these needs inline over a decade ago, and we find ourselves in a lead position in several of these fields and with a pipeline of science-based product candidate that represent exciting growth opportunities for our company, and we intend to capitalize on each of them. We have prioritized and aligned our R&D investments with these growth markets. We are very much aware that speed counts more than it ever has before, expect us to produce. We expect to earn attractive returns on these investments in the areas over the next five to ten years. We expect about long-term growth profile of our company as we, same time excited about meeting our improvement commitments to our shareholders. Carl, let me turn it back to you for questions.
Carl J. Lukach: Okay. Thanks Chad. Jackie we're ready to go to caller questions now. Question And Answer
Operator: Thank you. [Operator Instructions]. Your first question is from Bob Koort with Goldman Sachs.
Robert Koort: Thanks. Good morning. Jeff, I was wondering if you can talk a little bit about your return on capital expectations for the new Chinese Ti02 plant in light of choppier conditions that are in that market at the moment.
Jeffrey L. Keefer: Well, Bob, first of all, I don't have any change in our expectation on returns on capital in that business. You got to, as you know, look at that business over a long term framework, where you are in a low cost position in that business. That's an excellent investment for us and I expect the returns to be very good.
Robert Koort: Can you discuss, maybe, what's caused such a challenge in getting prices up there. As the market leader it seems like you announced a few price hikes but we haven't so much traction. What's really going on there that's creating you problem?
Jeffrey L. Keefer: Well, Bob, I am not going to get into specific about pricing in Ti02, let me just say though that I think we really do deliver value to our customers in that marketplace, and I think you are going to see great performance out of that business going forward.
Charles O. Holliday, Jr.: Bob it's, Chad, I'll like to just add, we're seeing more and more enforcement in higher standard for environmental compliance in China and we think that will bode very well for our process. It's extremely environmentally friendly. I'd just like to stress what Jeff said, is if we're going there, we can be a low cost producer and we think that bodes very well for growth in China and the neighboring countries too.
Operator: Thank you. Your next question is from Don Carson with Merrill Lynch.
Donald Carson: Just a question on the AG front, there has been some holdback in the rate of growth on ethanol. I think USDAs are calling for both flow rate number, 87 million acres of corn planted next year down from 94 million acres this year. What kind of a headwind does that create for the Pioneer turnaround efforts? And just... I know harvest isn't completed yet, but on your initial results you have any look at how you did on your yield comparisons versus your competitors this year in US corn?
Carl J. Lukach: Okay, John, thanks for those questions, as far as the acreage assumptions go for next year and how that mix goes. I think that the short answer to your question is not much of an impact. We're expecting another strong year, directionally, without number associated with it. We would support the USDA directional guidance that corn acres will be down as soy acres will be up. We've got exciting new products going into both crops. So, our outlook is strong for the total seed business there. Don't expect much swing factor there. In terms of the yield results for this year's harvest, I am sure you saw and a lot of people saw the USDA crop progress report yesterday, it's still early, 60% of the corn harvest is complete but only 40% in IOWA and some other key states. We are assembling, as we do, over 15,000 comparison tests, head-to-head comparison test to assemble our conclusions around yield. I don't want to go out with any preliminary answers there but we're compiling all that data right now.
Charles O. Holliday, Jr.: Don, it's Chad, I just want to add that the international shares we expect to continue to increase next year like it did this.
Operator: Thank you. Your next question is from Sirgay Vasmetzoff with Lehman Brothers.
Sirgay Vasmetzoff: Good morning. You bought about 23 million shares this quarter and yet the average number count declined to 4 million sequentially. Does this mean that you bought shares late in September and hence the average number for the fourth quarter would be about 9 to10 million.
Charles O. Holliday, Jr.: Sirgay the answer to your question is, yes, we did buy late in the third quarter, and we would expect our share count for the year to still be about 9.28 about 9.05 in the fourth quarter.
Sirgay Vasmetzoff: Okay. And so generally speaking what are your thoughts on further share buyback in 2008?
Charles O. Holliday, Jr.: That's something that we just completed our share buyback for the... of the $5 billion dollars. I am not going to speculate about the future. I think we are living up to our principles, which is maintaining a strong balance sheet, returning excess cash to shareholders unless we have a compelling growth opportunity. As I commented earlier, over the last couple of years we've returned $9.2 billion of cash to shareholders.
Operator: Thank you. Your next question is from Mike Judd with Greenwich Consultants.
Michael Judd: Yes. Good morning. It tend to... it sounds like you are not going to be allocating as much cash in the future to share repurchases, could you talk a little bit about your plans to invest in M&A, specially given that I guess down the road here in a few years we're going to have less earnings coming from the Pharmaceutical part of the business.
Charles O. Holliday, Jr.: Mike it's Chad. I wouldn't draw any conclusions about what we are going to do or not to do around share repurchase. I'll just reinforced what Jeff said that we don't have good uses internally that we are sure better will return cash to shareholders in the most appropriate way. I am excited about our current growth prospects for our current products. We announced the expansion of Kevlar. Previously in the year, we announced Nomex expansions. We see not only those markets improving but we see great applications. We will have some need for capital to... where we are getting tie-down capacity, we don't want to get behind there. If you look at our track record on acquisitions, we're buying where we bring some really unique technology that we can put into our global distribution and get more value than the current owners will still look for that, but I wouldn't expect any marked change in our plan. I like what we've got there for bio base materials. I encourage on that 12 and 13 meeting, that we maybe you will see some very, very exciting things that we can grow and we've got options of growing, by putting some of our capital in or we get options by taking just the royalties technology. So, I like our odds and degrees of freedom to grow effectively to meet that 2010 date you throw out.
Michael Judd: Thanks.
Operator: Thank you. Your next question is from David Begleiter with Deutsche Bank.
David Begleiter: Thank you. Good morning. Chad, just on your Coatings businesses, given the progress in RONA and the challenges in OEM, you finish an industrial, are those businesses still long term core businesses for DuPont?
Charles O. Holliday, Jr.: David thanks for the question. I am very encouraged with the productivity improvement I see across all the Coatings businesses, that's where we're pioneering some of our DuPont production system work, where we're seeing real opportunities for yield improvement, quality improvement. I was just out with a group of Coatings customers last week, and they are really commenting about the water borne products, how good they are, how anxious they are to make the conversion. We've got tremendous value to continue to bring in this Coatings business, not to think about the next wave of products that may come. So, we are focused on increasing the value by improving the cash flow from these businesses. I am confident we will. This is an important business to the company.
David Begleiter: Elevation and Coatings, Chad, do you think you will be a player in this trend going forward?
Charles O. Holliday, Jr.: Do you think... If the question is, would we'll be a buyer in the Coatings area. You never rule anything out and if there is something of real unique specialty nature that we thought we brought some technology to, we'd certainly consider it. I think we're going to have more attractive opportunities in biotechnology, bio-based materials, enhancing our base there. There might be some good opportunities for other folks you never rule it out. But I really believe, as I look across the, our safety and protection product line, tremendous opportunities there. So, my guess is they will have higher returns in the Coatings acquisitions which never rule out.
Operator: Thank you. Your next question is from Jeff Zekauskas with JP Morgan.
Jeffery Zekauskas: Hi. Good morning.
Jeffery Zekauskas: In both, Safety and Protection and Performance Materials, you showed double-digit operating income growth despite the very week domestic construction and auto markets. Can you quantify how much auto and domestic construction hurt you for the quarter and for the year, thus far?
Carl J. Lukach: Jeff, it's Carl. It's really coming out along the lines to what we predicted, and when Alan was on the call two quarters ago, about a $0.05 a share of headwind in this third quarter just ended, and that's consistent with the first two quarters that brings it to about $0.15 for the year, and I don't known that there is, we see anything different for that looking into the fourth quarter.
Jeffery Zekauskas: And if I can have a follow-up, Monsanto is making a fuss about smart stack, and in your Materials for the quarter you talked about Herculex being stronger than YieldGard, and what Monsanto, obviously, wants to do is to take your Herculex traits and stock it on their traits. Do you have an answer to that or from a competitive standpoint what do you plan to do in 2010, if any?
Carl J. Lukach: Thanks for that, Jeff. We certainly do have an answer for that. We expect to be every bit as competitive, and actually the goal is to be superior to competitive offering. It's all of that weed control, insect control and fungus control. And we have a dual mode of action weed control product on the market today. We'll be the only supplier with that product offering for the next two seasons. That will go to three modes of action in 2010 in corn with a option of gas trait. In terms of fungus control, we'll be the first supplier out with a AMTRAK [ph] nose resistant trait in this coming season in 2008 in North America. And then in insect control we have a dual mode of action of product to line up with the competitors product and others, and we have other things in development as well. So, Jeff, short answer, Jeff, is we tend to be every bit as competitive and the goal is to be superior in 2010.
Operator: Thank you. Your next question is from PJ Juvekar with Citi.
Prashant Juvekar: Yes, hi, good morning. Couple of questions on AG. Given that ethanol pricing is down and is not profitable currently how does that change your outlook on Butanol?
Charles O. Holliday, Jr.: PJ, I think you are probably talking about ethanol in the US, is what that your question, PJ?
Prashant Juvekar: Yes.
Charles O. Holliday, Jr.: Okay, because ethanol is a big product globally and we are in focus just on the US. If you are counting ethanol out in the US, it is a good product. I think you are declaring death way too soon. As you know our butanol project, our first scope now would be to be from wheat and be in the UK, and we have already made a minor investment in a plant, so we can line up there. We're extremely encouraged about the progress we are making on cellulose to ethanol, of course, we are not just a great ethanol player except in selling seed to that, which we think will still be very profitable. But we are happy with our progress in cellulose to ethanol. We are very pleased with our progress in bio-butanol. We look forward on the 12 and 13 to kind of update you on specific time lines and plans for that. So, I don't want to preempt the work we will be doing there. But I don't see anything in this current situation in ethanol in anyway the tract... the fact is it just encourages us more to move faster. I have been in a couple of conferences in the last month where clearly the demand for cellulose to ethanol and bio-butanol have been the headliners and we just see some tremendous demand from our customers there.
Prashant Juvekar: Okay. I mean, I am not declaring any death to it and all, I'm just pointing out that the profitability is down. But on to my second question on this agreement that you had with Monsanto recently, where you lowered the royalty payments and extended them into 2015, if you are confident about optimum gas rollout in 2010, I'm wondering why would you go all the way to 2015 in paying those royalties?
Charles O. Holliday, Jr.: PJ, let me be extremely clear. We are very confident about optimum gas in 2010, there has been nothing that happens around that to discourage us at all. This was a simple net present value calculation, because as you know we can't ramp up suddenly everything in 2010. It's going to take time. As we look at the economics, we think it makes sense for us and that's simply all there was. Absolutely no change in strategy.
Operator: Thank you. Your next question is from Frank Mitsch with BB&T Capital Markets.
Frank Mitsch: Good morning, gentlemen. A question regarding pricing in raw materials. Chad, you indicated that in 2008 raw material subside, you'll start to going to see some margin expansion. Your deficit right now in the third quarter was $0.03, you had $0.12 rose and $0.09 in higher prices, so $0.03. If you don't get raw materials subsiding you think you... when and if do you think you will be able to offset the higher raw materials with higher local pricing?
Charles O. Holliday, Jr.: Well, Frank, a great question. The first obligation we got is to purchase better, smarter in better quantities, we're making progress there. The programs we have on yield and energy efficiency are very important to us. They're worth more to us that oil approach $90 per barrel, and so we see improvement to make our sell, but we've got, I don't know what all of our competitors have as far as the techniques for evaluating value and being explaining that to customers, but I know ours are really solid, and we've got to expand more and use them in all of the places but we are seeing is we are putting those skills and capabilities in our sales force and have the right incentives for those. We think we will be more effective in passing things along. I think it would be inappropriate to kind of judge what the net-net of that will, be because that's trying to incorporate too many variables. I would like to go back where you started. We're valuing these prices, we're not just pushers through a commodity. We have a few things like that but not very much. The good thing is when these things subside, and they will someday, and I am not predicting when, clearly, we're going to be able to capture value longer than folks that just push things on a formula basis. So, we are not predicting that, we're certainly not assuming that in 2008 that will be upside if it happened.
Frank Mitsch: All right. Terrific, and then more specifically on one of the slides you indicated in the Coating section that you anticipated a Ti02 price increases in the fourth quarter being a benefit, how confident are you that that's going to occur, and can you talk about the order of magnitude and what regions you may see that occur?
Jeffrey L. Keefer: Well, not so much on that later part, Frank, but really the point we needed to make is that the industry inventory levels were high, that has come down. These announced increases had been out awhile, and as you point out we have it as a plus variant on our fourth quarter outlook. So that's kind of how we think things are going there.
Operator: Thank you.
Charles O. Holliday, Jr.: We are not assuming an up-tick in US architecture, if that was behind your question, we are not assuming an uptake to get these price increases through.
Operator: Thank you. Your next question is from Kevin McCarthy with Banc of America Securities.
Kevin McCarthy: Yes, good morning. Jeff, your base tax rate has been drifting down throughout the course of the year. What is the base rate that is embedded in your outlook statement for 2008 earnings?
Jeffrey L. Keefer: Yes. The base will be especially you can call it right now, we will continue to look at this at about 26% for 2008, Kevin.
Kevin McCarthy: Okay. And then shifting gears to agriculture, if I may. You had an announcement in September relating to your accelerated yield technology for soybeans with an advertised yield benefit of 12%, quite substantial there, how quickly can you penetrate that technology from the 5 varieties you outlined for '08 into the 100 plus that you have in your portfolio.
Jeffrey L. Keefer: It's early stage, it is quite dramatic step change in what we see in the lab, I think that to be straight up with you on that, Frank, it's about three to five years in our pipeline projections. Kevin.
Operator: Your next question is from Mark Gulley with Soleil Securities.
Mark Gulley: Yes. Good morning. A couple of questions, first of all, you got a crack economics team at DuPont, guys, and I am wondering what they are saying about the bottom of the US housing market?
Charles O. Holliday, Jr.: Mark, we do have a crack economics team, and if they fully knew that they probably wouldn't be working for us. It's really hard to call but as I said in my comments we are not assuming any recovery in 2008. I think that would be a very appropriate assumption. We model the inventory levels, the demand levels and so forth, and we could be wrong, there could be some intervention that would change that, but we're not assuming it, and that's why we are focused much more on, like this, new roof-liner product that I talked about and being sure we're taking the products like Tyvek and building the markets outside, including this personal protection areas.
Jeffrey L. Keefer: I think, Robert and Bob, also another metric, Mark, that they look at it, inventory in the chain and I think their latest report I saw it's still looking at about... no new change of new homes of the value at month. So, that's I think holding back any optimism about a recovery.
Mark Gulley: Secondly, you noted your fungus size were strong in Latin America, I assume, in soy in Brazil. A lot of anecdotal evidence about Asian soy rust in United States, it is anecdotal. Any feeling that that pest want to migrate here and if so would it represent a meaningful opportunity for your fungicide business in North America.
Charles O. Holliday, Jr.: I can't say that there is any hard evidence of meaningful change in the crop this year with regard to that fungus this year, the disease. We do have the product offering ready to go as do a number of suppliers out, but I wouldn't say it's a sizable opportunity at this stage but we are ready if it does migrate.
Operator: Thank you. Your next question is from John Robert with Buckingham Research.
John Robert: Good morning, guys. It seems like the 5% range in your guidance for '08 growth, the 5% to 10%, is it relatively narrow range in light of a log of uncertainty out there in the economy and the surging raw material cost. And you got, actually, a pretty long lead time in terms of when raw materials hit your P&L side. I assume that's going to be an early '08 issue for you as well. You have any thoughts why that range is so narrow?
Charles O. Holliday, Jr.: John, it's Chad. We don't know for sure, where we're going to fit, that's a range off where we finish this year, and so we got a range on what we're going to do this year. So, it's really a little large than 5% to 10%, you think the total spread. We just felt it important because we do have a pretty good view of the global economy to go in and say something, and give a sense of what that is, we're not trying to imply super accuracy, but that's our best judgment right now, and that's, again, what we can do based on the productivity improvements. What we see in our new product pipeline coming out. So, we are not trying to suggest that's what the overall economy is going to do or what necessarily our competitors are going to do, but we feel like that is a good set of guidance for planning purposes for '08, and as we see something early next year or whenever, it's different, we'll certainly update you. As you recall, we came out with a number about this same time last year and it held pretty to the year. It looks like it might be up slightly. I guess, we started at 3.15, now we are 3.15 to 3.20. So, we are up a bit, but... So, I don't want to say, we'll necessarily be that accurate again next year but our track record for one year is not too bad.
John Robert: Do, you think the increased variabilization of your cost and your more aggressive pricing stance is kind of giving you better control over things?
Charles O. Holliday, Jr.: Well, everything looks perfect, if you assume it's just going to project in the future. Right now, as basically as I said in my comments, we expect a continuation of '07 and '08 and with that assumption we think that 5 to 10 is not a bad number to be looking at particularly at this point in time. What I'm particularly pleased with are these yield improvement programs, the better sourcing programs and the sophistication we are putting into price across the entire company, and again the growth outside the US. If you can have a chance to just see the quality of people that we have hired in these emerging markets, they are second to none anywhere in the world, any country in the world. I am just pretty confident about what they can accomplish.
Carl J. Lukach: Jackie, I think that does it for our call. We have run out of time. I think what we will do is end the call now and I'll thank everyone for dialing in. Remind them that we have the investor event on applied biosciences on November 12th and 13th here at Wilmington. As always the IR team is here to answer any follow-up questions that you have. Thank you very much for joining us today.
Operator: Thank you. This does conclude today's DuPont conference call. You may now disconnect.